Operator: Welcome to the James Hardie Fiscal Fourth Quarter 2025 Earnings Conference Call. After prepared remarks by management, there will be an opportunity to ask questions. Please limit yourself to one question. If you have additional questions, please rejoin the queue. I would now like to hand the call over to Joe Ahlersmeyer, Vice President of Investor Relations. Please go ahead.
Joe Ahlersmeyer: Thank you, operator, and thank you to everyone for joining today's call. Please note that during the course of prepared remarks and Q&A, management may refer to non-GAAP financial measures and make forward-looking statements. You can refer to several related cautionary and other notes on Slide 2 for more information. Forward-looking statements made during today's conference call and in the presentation materials speak only as of the date of this presentation. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Accordingly, investors are cautioned not to place undue reliance on forward-looking statements. Also, unless otherwise indicated, our materials and comments refer to figures in U.S dollars, and any comparisons made are to the corresponding period in the prior fiscal year. Now please turn to slide three, where you will find the agenda for today's call. I am joined by Aaron Erter, Chief Executive Officer of James Hardie, and Rachel Wilson, our Chief Financial Officer. Aaron will begin our prepared remarks by reviewing our FY '25 accomplishments, discussing our focus and outlook into FY '26, and detailing our progress against key strategies in North America. Then he will provide an overview of our core business opportunity and speak to the long-term outlook of our organic business before discussing our combination with The AZEK Company. Rachel will then review our financial results for the fourth quarter and discuss FY '26 guidance before turning the call back over to Aaron to conclude prepared remarks. At that time, we will move to Q&A. I'm now pleased to hand the call over to our Chief Executive Officer, Mr. Aaron Erter.
Aaron Erter: Thanks, Joe. Before I begin, I would like to thank our team around the world whose dedication and hard work enable us to continually delight and win with our customers, doing so with an uncompromising commitment to safety. Together, we are living our company's purpose of building a better future for all and working towards accomplishing our mission to be the most respected and desired building products brand in the world. I also want to welcome those new to our call, along with our longstanding participants. We look forward to sharing James Hardie's compelling investment profile and detailing how we execute on creating significant value for all shareholders. Given the expanded participation on today's call, our prepared remarks will be a bit longer than usual as I intend to review some of the key aspects of our competitive positioning that are critical for developing and understanding of James Hardie's value proposition. These include the substantial runway of our material conversion opportunity against vinyl and wood, the unmatched resilience and beauty of our innovative and differentiated product offerings, our localized manufacturing, unrivaled by any other siding player, and instrumental to the growth plans of our largest, fastest-growing customers. And of course, our purposeful strategies to create demand across the value chain, winning over homeowners, contractors, and customers with our value proposition and fostering loyalty to the James Hardie brand. So with that, let's begin on Slide 4. We delivered solid business and financial results in the fourth quarter, and our fiscal year 2025 performance reflects our commitment to invest to scale the organization and grow profitably, even in a more challenging market environment. We are executing on our growth strategy and are confident that our actions are driving outperformance in our markets and positioning us well to sustain this outperformance. We are winning by partnering with our customers and contractors and delighting homeowners. This success propels our organization forward and fuels my optimism about the future of James Hardie. We have the strongest team in the industry and the right strategy to go after a material conversion opportunity. We are well-positioned to compete directly with substrates like vinyl and wood. Our products offer a highly compelling value proposition that spans our full customer value chain. Our focus across the value chain involves demand creation and building brand awareness, developing innovative designs and aesthetics for homeowners, and working closely with our contractor, dealer, and distributor partners as we accelerate material conversion across our end markets. We continue to invest strategically in growth despite the challenging demand environment and have delivered robust profitability while strengthening our position in the market. Consequently, when demand improves, we are well-positioned to accelerate outperformance when demand improves. In late March, we announced that together with The AZEK Company, we are creating a leading growth platform in building products. Later on, I will share the strategic and financial reasons why this is the right combination at the right time. Our full year business results demonstrate the inherent strength of our unique value proposition and the underlying momentum in our strategy against a softer market environment. We delivered 2.95 billion standard feet of volume in North America, within the range we guided to a year ago, despite softer end market demand than we had originally anticipated. Our North America EBIT margin of 29.4% shows how we generate savings through the Hardie operating system and quickly and decisively prioritize consistent, high return investments in organic growth and organizational scale. This result exceeded our initial commitment for profitability. In a difficult North America market environment in FY '25, we generated $2.9 billion in North America sales, along with $1 billion of EBITDA, resulting in a 35% EBITDA margin. And finally, we generated $644 million of adjusted net income, again driving performance that exceeded the commitments we made last May, thanks to purposeful execution by each of our business teams around the globe. As we turn our focus towards continuing our material conversion mission, I reflect with pride on the resilience our teams have shown as our industry faces persistent headwinds. More recent, broader macroeconomic uncertainty could further impact the cost of home construction and weigh on consumer sentiment, influencing demand. As a result, in North America, which represents approximately three quarters of our total net sales, we are prudently planning for market volumes to contract in FY '26, including a fourth consecutive year of declines in large-ticket repair and remodel activity. Despite near-term headwinds, the strength of our brand and the attractiveness of our value proposition to customers has and will enable James Hardie to structurally grow through expansions and contractions. We will continue to capitalize on these strengths as we navigate through the current backdrop, focusing on outperforming our end markets to drive top and bottom line in FY '26, consistent with our prior planning assumptions. In Australia and New Zealand, which constitutes a low double-digit percentage of our total net sales, our strategy remains consistent and focused. We are leveraging innovation to accelerate material conversion against brick and masonry, and we are optimizing our network for future growth. While the Australian market similarly remains challenged due to affordability issues, we continue to grow our strong category share across our end markets, and we will outperform in what we anticipate will be a relatively flat market environment in FY '26. The APAC business has positioned itself well for a recovery in end market demand, and we have great confidence that we will take full advantage when the opportunity comes. In Europe, which also contributes a low double-digit percentage of our total net sales, our markets remain challenged. And our expectation for a more gradual path to recovery for Germany, our largest European market, remains unchanged. However, we continue to focus on our core strategy of driving double-digit sales growth in high value products, which we achieved in both the fourth quarter and throughout 2025. We have a solid plan to expand our margins in Europe, comprised of purposeful investment to drive operating leverage alongside sales growth and to generate cost savings by optimizing our production footprint and driving efficiencies. Across our businesses, we remain committed to outperforming the markets in which we participate and have purposeful strategies that ensure we deliver on these commitments year in and year out. These plans are grounded in capturing the material conversion opportunity and driving value for our customer partners. Now please turn to Slide 5, where I will review our recent performance and accomplishments within our North America single-family exteriors business. We delivered upon our North America volume guidance this year despite challenges across our end markets. During FY '25, multifamily, which has been a low double-digit percentage of segment volumes in the past 2 years, saw a significant market correction. But we outperformed despite our volumes falling over 20%, lapping record performance from FY '24. Multifamily remains an attractive long-term segment for us beyond this near-term normalization in market activity. Interiors, which is around 10% of segment volumes, declined as well, falling high single digits as the discretionary interior remodeling market remains soft. The vast majority of our North America business that is neither multifamily nor interiors is growing. This represents our siding, trim, and soffit products across both repair and remodel and single-family new construction. This growth reflects the encouraging results of our long-term purposeful strategic actions to grow our share with the National Home Builders and expand our presence in key repair and remodel geographies. Our growth in FY '25 through market declines proves we are executing on our plan to win in these large material conversion opportunities. This outperformance in single-family exteriors is attributable to strategies like leveraging innovative product solutions such as ColorPlus. Our ColorPlus offering remains strategically important across both single-family new construction and repair and remodel, and our focused efforts and investments enabled double-digit growth in FY '25. For those new to James Hardie, our ColorPlus products come pre-finished using proprietary technology, offer a virtually limitless range of color options, and like all our products, they are engineered for climate. Simply put, there is no other product like this on the market. The value proposition of ColorPlus enables contractors and homebuilders to create beautiful, distinguished homes with superior aesthetics, customization, and durability, in addition to offering time and cost savings. Our strategy is winning against vinyl within repair and remodel by strengthening our presence in the Northeast and Midwest, two regions ripe for material conversion through the residing of aging homes with appreciated values that remain clad with other substrates. We are again leveraging our ColorPlus technology, highlighting Fiber Cement's unique product attributes, and harnessing our clear advantage over other hard siding products in the marketplace. In the Northeast and Midwest, we have grown ColorPlus volumes at high-single-digit CAGR over the last 5 years compared to end markets that were flat to down. Key to our success has been our ability to rapidly onboard new contractors to the alliance, our loyalty program that we will continue to grow and enhance over the coming years. Approximately 40% of new contractors added this year were introduced to the program by a customer sales representative, a clear proof point of how we have amplified our commercial efforts by leveraging our deep partnership with our customers leading to not just hundreds, but thousands of feet on the street. Importantly, as we accelerate sales with siding and decking contractors to capture the vast opportunities that lie ahead, the size and strength of our sales force and the alignment with our customer sales teams underscore our supreme confidence in achieving our commercial synergy commitments. Nobody in the industry has a sales force like James Hardie. Turning to new construction. We continue to achieve success in deepening our partnerships and supporting homebuilders' growth objectives. Over the last year, in a clear demonstration of the appreciation for our innovative product solutions and unrivaled business support, we have announced multiyear national hard siding and trim exclusivity agreements with the following: Meritage Homes, M/I Homes, David Weekley Homes, Stanley Martin Homes, CastleRock Communities, Trumark Homes, CBH Homes, Davidson Homes and McKinley Homes Our customers drive, our innovation focus, and our broad product range continually delivers material conversion wins. Beyond our homebuilder exclusivity agreements, we have demonstrated success in accelerating our material conversion opportunity in new construction, from vinyl to James Hardie Fiber Cement. Let me share a few examples of how we are doing this. In many cases, we win on the absolute value proposition alone as homebuilders see that buyers are motivated by the resilient beauty of our products. In other cases, we are increasingly reducing overall switching costs by innovating through ColorPlus and around the installation process. In parts of the Midwest and specifically with our statement collection, we are piloting products that are quicker and easier to install and thus reduce the on-the-wall costs. The early results are highly encouraging and demonstrate the potential to unlock a large range of addressable homes at more affordable price points. By highlighting and enhancing the James Hardie value proposition, we become increasingly successful at convincing large homebuilder partners to convert from vinyl to Fiber Cement. Our builder partner Van Metre Homes, whom many of you saw at our Investor Day, recently dropped vinyl from their designs in favor of Fiber Cement, highlighting our ability to meet the desires of homebuyers across different price points and innovate to improve the installed cost of our product. Please turn to Slide 6. I'd like to take this opportunity to reiterate that we remain well-positioned to execute on the growth objectives we outlined at our Investor Day last June. They are to drive long-term profitable growth in our organic Fiber Cement business and to take advantage of the significant material conversion opportunity in front of us. Within repair and remodel, long-term market fundamentals are highly supportive, with over 35 million homes aged 20 to 40 years, the prime age for replacing or improving exterior siding. Ten million vinyl homes alone have been built over the past 30 years. Or an easy way to think about the tremendous opportunity is almost 80% of the homes in the United States today are not sided with Fiber Cement. In a new construction, the Fiber Cement category has grown structurally for decades with further opportunity to expand in the decades to come. This is particularly true with large builders seeking to drive further value for the homeowner, with aesthetics and durability of the product, differentiate increasingly standardized homes through customization of exterior visuals, and to achieve labor savings through innovative solutions such as our pre-finish, ColorPlus technology. We often talk about our path for value creation, and we see immense material conversion opportunity as the fuel for our growth engine. But to capture this opportunity requires the elements we have refined over the years: creating demand across the value chain by being the brand of choice, providing customers with innovative solutions, and supporting the growth of our partners through unrivaled business support and localized manufacturing. I had the pleasure of visiting with hundreds of valued customers and business partners at the International Builders Show in late February, where we showcased many of our new and innovative product offerings. Our focus on innovation continues to resonate with our customers, and we believe our winning solutions will accelerate our material conversion effort. New products like our TimberHue, Artisan Lab, and Statement Essentials products give contractors and homeowners additional innovative design solutions. We are also targeting material conversion wins against brick and stucco with products such as Hardie Architectural Panel, adding incremental runway on top of what has been our core focus and would look exciting. In North America, we remain steadfast in our commitment to driving double-digit revenue growth over the long-term, which is built on low single-digit underlying market growth, approximately 4 points of outperformance versus our end markets through time, and an expectation to grow value faster than volumes by an additional mid-single digits. It also remains our expectation that, organically, we will expand our North America EBITDA margin by 500 basis points, enabling us to triple our EBITDA. We have stated this path will not be linear; however, we are highly confident we will achieve our objectives over the long-term. James Hardie Fiber Cement has achieved enviable success over just the three decades since introducing our products to the North American market, and we estimate that our products now clad more than 11 million homes. Our conviction in our long-term aspirations is rooted in the boundless opportunity ahead of us and our ability to capture it as we aim for 25 million homes by 2035. We are proud to have been trusted by all who have chosen Hardie as the first impression for anyone who visits their home, but also as the first line of defense against the elements: moisture, pests, and fire to protect what matters most, and we will be unwavering in what we see as the driver of our past and future success in North America Fiber Cement: the value we provide to all participants across the value chain: homeowners, contractors, and customers. Now please turn to Slide 7, where I will talk about the next chapter of growth for James Hardie. Built upon the strong foundation of the organic Fiber Cement business that I've just reaffirmed. In late March, we announced that together with The AZEK Company, we are creating a leading growth platform in building products. I will share the five key strategic and financial reasons why this is the right combination at the right time. Our stated criteria for investing in inorganic growth has been that any opportunity would need to accelerate our current strategy, increase our value proposition to our current customers, and be financially attractive over the long-term. This opportunity clearly satisfies each of these three criteria. At James Hardie, we are homeowner-focused, customer and contractor-driven. In essence, this means that the driving force of our business is delivering winning solutions across the customer value chain. With AZEK, we expand this successful approach into the highly attractive outdoor living category, with the fast-growing, highly profitable business built on industry-leading teams, multiyear strategic investments, differentiated products, and best-in-class execution. Net-net, together, we will create a leading platform for growth. Once combined, we will offer a comprehensive solution of leading exterior brands, which positions us to benefit from material conversion opportunities in the context of a total addressable market more than twice the size of ours today. The financial profile of the combined company is best-in-class, with further enhancements to growth, profitability, and cash flow through the delivery of identified cost synergies and tangible commercial synergies with meaningful room for upside. In summary, this transaction will accelerate James Hardie's strategy, increase value to our customers, and deliver significant long-term financial value creation. And with respect to timing, we expect to close the transaction in the coming months. Turning to Slide 8, I would like to provide more color on our commercial synergy opportunity. Our largest opportunity lies at the contractor level. The importance of the contractor and our respective presence with these business partners cannot be understated. We believe the breadth and strong loyalty of our respective contractor bases will be crucial to our ability to accelerate material conversion with each other's contractors across our collective product portfolio. Let me talk a little more about how this would work. Consider a contractor that is already using one of our products in a particular category, say Fiber Cement siding, but a different substrate in another product category, like wood decking. We can run our tried and true [ph] material conversion playbook to accelerate growth with these contractors who have already been sold on the value proposition of Fiber Cement and will now be selling homeowners on the benefits of both James Hardie siding and TimberTech decking. We will also introduce our contractor partners to categories and products they may not have historically participated in, demonstrating the financial benefits that these can offer. One of our key criteria for M&A was the ability to offer a greater value proposition to our existing customers. We think our contractors who do one product with us, but not the other will see the power of expanding the scope of their business and partnering with two of the leading brands in all of repair and remodel. In any scenario, we see this as an acceleration of our respective current strategies, underpinning our confidence in delivering substantial synergies through material conversion. The feedback on this combination from our dealer customers has been consistently enthusiastic. Our core focus on bringing differentiated solutions to our business partners is resonating through the feedback we are hearing, reinforcing our confidence in the shared opportunity to accelerate growth through material conversion and increased penetration of our products in the market. We look to earn incremental shelf space at new and existing dealer locations. With James Hardie in nearly 5x as many dealer locations as AZEK today, there is meaningful runway to expand AZEK's presence on the shelf, which would increase brand visibility and product availability to contractors nationwide, further supporting the incremental growth at the contractor level. We believe that dealers will recognize the attractiveness of a combined product offering, make decisions that align to the needs and wants of their most loyal contractor customers, and place value on the simplicity that SKU harmonization could offer, particularly in promoting products like PVC trim. Our dealer partners will also help facilitate synergy capture at the contractor level, acting to amplify the reach of our sales force and playing an important role in converting contractors to James Hardie, AZEK, and TimberTech. As a combined organization, we believe this cohesive relationship can be improved, allowing for more at-bats with contractors. Moving to the homebuilder, where we have been demonstrating the momentum of our strategy. With several major exclusivity wins over the course of the past year, James Hardie's position with large homebuilders has never been stronger. AZEK has not had an on-purpose effort in this channel until only recently, illustrating the expansive opportunity that exists to introduce AZEK's many exterior product categories into our partnerships. We continue to observe consolidation in our industry, notably with national retailers looking to expand their business with the pro contractor. With our portfolio at closing consisting on the leading brand in siding, the leading pro contractor brand in decking, and the two leading brands in PVC trim, our valuable relationships with contractors position us as an important strategic partner to anyone seeking to grow with the pro. We have an existing presence, and AZEK too has already found success in expanding its retail business. We see more opportunity as a combined organization to bring our value proposition into these important retailers. And in wholesale, we look forward to continuing to drive growth for our valued distribution partners, strengthening relationships forged over many years, and maintaining best-in-class business support through our localized manufacturing. In summary, we have line of sight into the commercial opportunities ahead and remain confident that we will capture at least $500 million of baseline revenue synergies with clear opportunities for incremental upside. Turning to Slide 9, I would also like to reinforce the significant, clear, and credible cost synergy opportunity ahead for the combined company. We are underway with a rigorous integration and value capture planning process, which is supported by a dedicated integration management office and best-in-class advisers. We are prioritizing fast cost synergy delivery and quick wins, though we've chosen to take a prudent approach to the timing of our targeted synergy delivery. We would expect cost synergy savings related to administrative functions to be executed more rapidly. This includes savings from eliminating duplicative back office functions, systems integrations, and consolidating some of our facilities. We are also looking for quick delivery of savings from freight optimization and shared procurement of packaging and indirect items such as safety equipment and insurance. Lastly, we see a smaller but still meaningful opportunity to capture synergies from improving alignment and driving continuous improvement in our R&D, commercial, and marketing operations, but are committed to preventing any disruption to our customers. We will act with care and do so over a longer time frame as building upon our strength as a unified sales organization is key to the delivery of our commercial synergies. We have tremendous confidence in the integration execution given the similarities of both companies' cultures, goals, and operating models, and expect to progress as planned towards our target for $125 million of cost synergies. Turning to Slide 10, the financial profile of the combined company is best-in-class, with further enhancements to growth, profitability and cash flow through the delivery of clear and credible cost synergies and tangible commercial synergies with meaningful room for upside. In addition to growth in operating cash flows from our strong organic runway and synergy opportunities, reductions in capital spending requirements should also drive an acceleration in our free cash flow. We have invested ahead of volume purposely in our North America business, considering our substantial runway for material conversion and confidence in our organic revenue opportunity. Today, our existing footprint is sufficient to fully service anticipated demand, placing us collectively in a strong position over the next few years. The sustainability of our strong cash flows extends beyond purposeful investment. The combined business, post-achievement of run rate synergies, is expected to generate annual free cash flow of greater than $1 billion. We will use our strong cash flows to support organic growth, to rapidly deleverage, and to fund capital return to shareholders. Now, I'll turn it over to Rachel to review our results in more detail and discuss our outlook. Rachel?
Rachel Wilson: Thank you, Aaron. Please turn to Slide 11. We again delivered solid results to close out FY '25 performance, while remaining focused on scaling the organization and investing to profitably grow our business. We achieved each of our FY '25 guidance metrics despite a more challenging macro environment as compared to May of last year when we initially provided this outlook. In North America, our team delivered a solid fourth quarter, and we achieved our guidance points both in our second half and full year for volume and EBIT margin. Our mid-30s EBITDA margin for the full year demonstrates diligent cost control and full delivery of cost savings, which together help mitigate unfavorable volume leverage from softer end markets. Looking ahead, we will stay focused on the key strategies that have underpinned our financial performance, including aligning our spend to the market environment, investing ahead of recovery and evolving our plans to accelerate our market outperformance. In Asia Pacific and Europe, our teams continue to demonstrate a strong commitment to driving outperformance in challenging markets, with results consistent with our expectations. In Asia Pacific, we are executing well on our strategies and winning by partnering with our customers to own material conversion opportunity. Focusing on the ANZ markets given the Philippines exit, Q4 net sales increased modestly in local currency as we offset a challenging market and outperformed peers. In Europe, we achieved record Q4 sales as our portfolio of high value products is performing well. This top-line momentum coupled with the current manufacturing facility rationalization positions Europe for improved margin performance. Across all three regions, our results and strategies demonstrate a commitment to delivering profitable growth. Our strong margin delivery continues to drive our robust cash generation, which enables us to execute on our capital allocation priorities. This includes investing to drive growth, reducing leverage post the close of the AZEK merger, and returning capital to shareholders within our deleveraging commitments. Lastly, our pre-close planning efforts are well underway to facilitate a successful integration of The AZEK Company. This includes planning for clear and credible cost synergies, such as organizational alignment and tangible commercial synergies as Aaron has noted. Please turn to Slide 12 for the financial highlights of our fiscal fourth quarter. Total net sales were 3% below last year's record fourth quarter, but consistent with our expectations at $972 million globally. We delivered $269 million of adjusted EBITDA in the quarter, with an adjusted EBITDA margin of 27.6%. Total adjusted EBITDA declined 4%, and our margins decreased by 30 basis points. Our full year adjusted EBITDA margin was down 80 basis points, modestly below our record results in the prior year, demonstrating our ability to manage the uncontrollable impacts of market volumes and raw material headwinds utilizing key levers like Hardie operating system savings and focused cost control actions. Adjusted net income in the quarter was $156 million, and adjusted diluted EPS was $0.36 per share. Let's move to Slide 13, where I will comment on the year-over-year drivers that led to our fourth quarter consolidated adjusted EBITDA of $269 million. North America drove a $20 million decrease in total adjusted EBITDA as volumes declined due to ongoing demand challenges in our end markets. Our decisions to remain staffed at our plants while investing in scale and future growth are important actions to capture the opportunity as our markets recover. Additionally, we face raw material headwinds, particularly in cement and pulp, which further weighed on margins. Within Asia Pacific, Australia and New Zealand delivered high-single-digit profit growth, but overall adjusted EBITDA declined by $2 million, owing primarily to the closure of the Philippines. Europe increased by $1 million as strong growth from volume and price were partially offset by higher energy and raw material costs as well as higher employee costs related to increased headcount for our high value product sales force. And finally, R&D and adjusted corporate costs were down $9 million year-over-year, primarily driven by lower stock-based compensation expense. Turning to Slide 14, North American net sales declined 2% year-over-year in the quarter, primarily driven by a 3% decline in volume and partially mitigated by a 1% increase in average net sales price or ASP. From a year-over-year standpoint, the 3% decrease in volumes was comprised of a low-single-digit decrease in our exterior products and a low-double-digit decline in our interior products. In aggregate, we shipped 741 million standard feet in North America in the quarter, helping deliver on our second half and full year guidance. Consistent with the sequential commentary we provided on our last call, volumes were roughly flat in the fourth quarter compared to the third, with volumes of our exterior products up slightly and volumes of our interior products down mid-single digits. ASP rose 1% year-over-year, primarily related to the realization of our annual price increase, which became effective in January of 2025. EBIT margin was 28.2%, down 350 basis points year-over-year, including an approximately 150 basis point headwind from depreciation and amortization expense. The increase in depreciation in the fourth quarter reflects Prattville Sheet Machine Number 3, which went into service at the end of the second quarter. North America EBITDA was $248 million, with EBITDA margin of 34.4%, down 190 basis points year-over-year. Lower volumes and unfavorable cost absorption were the primary drivers of this decrease. The year-over-year headwind from higher raw material costs continued in the fourth quarter, principally driven by low double-digit inflation collectively for pulp and cement. We continue to control the controllable with favorable ASP, HOS savings, and our focused cost actions continuing to provide meaningful offsets to raw material headwinds. Our efforts to align spend to the current environment have helped to bolster our strong margins even as we prioritize investments across the value chain in anticipation of our market recovering. Turning to Slide 15 regarding our performance in Asia Pacific. During the fourth quarter, Asia Pacific total segment net sales declined 17% in U.S dollars and decreased 13% in Australian dollars, primarily due to a 31% decrease in volumes, partially offset by a 25% rise in ASP. Asia Pacific total segment adjusted EBIT margin was 30.5%. Adjusted EBITDA declined 5% to $41 million, and adjusted EBITDA margin increased 410 basis points to 34.5%. The decline in net sales and volume and the increase in ASP and margins relate to the contribution from the Philippines in the prior year, but not in the current year. As a reminder, last August, we announced that we would cease manufacturing and wind down commercial operations in the Philippines, but we continued to sell product inventory throughout the second quarter, after which contribution was de minimis. As a result, our segment financial results for the fourth quarter of fiscal year 2025 represent sales and profits related only to our Australian and New Zealand operations, whereas the fourth quarter of fiscal 2024 included a full quarter of results from our Philippines operations. This comparability impact will continue into the first half of fiscal year 2026. Regarding the comparable underlying performance of our remaining business, during the fourth quarter, Australia and New Zealand together saw a low single-digit decrease in volume and a low single-digit increase in ASP, leading to a slight increase in net sales. EBITDA grew, and EBITDA margin expanded as HOS savings and price helped offset lower volumes. Turning to Slide 16, Europe net sales increased to a quarterly record of $135 million, up 5% in U.S dollars and 8% in euros. Regarding our local currency sales performance in the quarter, fiber gypsum products were up high single digits, and Fiber Cement products were up mid-teens. Volumes grew 7%, benefiting from strong performance across the portfolio, including double-digit volume growth from high value products. ASP increased 7%, primarily driven by our June 2024 and January 2025 price increases. EBIT margin was 9.9%, inclusive of $9 million of depreciation and amortization expense. EBITDA was $22 million, and EBITDA margin was 16.2%, down 50 basis points, with the benefit of top line strength offset by higher raw material and energy costs as well as investment in our sales force to support high value product growth. Now please turn to Slide 17, where I will discuss guidance. Please note these targets reflect only the organic James Hardie business. For FY '26, we are assuming macro headwinds continue, including more recent economic uncertainty that could further impact the cost of home construction, as well as weigh on consumer sentiment as both factors ultimately influence demand. We are committed to driving profitable growth and are reaffirming our previously stated business planning assumptions for organic sales and EBITDA growth in every region. Furthermore, we remain aligned as an organization around delivering strong cash flows not only to fund growth investments, but also to ensure a strong balance sheet and enable return of capital to shareholders within our deleveraging targets. We expect to grow our free cash flow by over 30% to at least $500 million in FY '26 by virtue of our profitable growth, stewardship of working capital, and reduction in our capital expenditures. In North America, we are prudently assuming a mid-single-digit decline in our market volumes. However, we believe the strength of our brand and the attractiveness of our value proposition will continue to support volumes above market. And combined with our favorable ASP, we expect to deliver low single-digit net sales growth in our North American segment in FY '26, benefiting in part from continued double-digit volume growth in single-family ColorPlus. We remain steadfast in our approach to controlling the controllables and expect to deliver incremental cost savings to protect our strong margin profile despite high single-digit raw material inflation. Coupled with our top line growth, we continue to expect cost savings to largely mitigate the impact of inflation, resulting in relatively stable EBITDA margins year-over-year at approximately 35%. With respect to tariffs, we are well-positioned with localized manufacturing to weather all potential outcomes. We procure approximately 80% of our raw materials from within 150 miles and ship approximately two-thirds of what we sell in North America to customers within 500 miles. Consistent with our prior planning assumptions, we continue to expect growth in net sales and EBITDA both within Australia and New Zealand as well as for our Europe segment. On a consolidated basis, we expect adjusted EBITDA to grow by approximately low single digits. Lastly, we expect free cash flow of at least $500 million in FY '26, up over 30% versus FY '25, due to solid operating cash flow generation, diligent working capital management, and reduction in our capital expenditures. Altogether highlighting our ability to execute on our capital allocation priorities. Now moving to Slide 18, I would like to review our free cash flow expectation for FY '26. Considering our substantial runway for material conversion and confidence in our organic revenue opportunity, we've invested purposefully in our North American manufacturing footprint. Now with Prattville Sheet Machine 3 and Westfield ColorPlus facility in service, and Prattville Sheet Machine 4 completed and awaiting commissioning, we have sufficient capacity in place to service our market opportunity. To that point, our average North American effective capacity utilization in FY '25 was 79%, which only includes a partial year contribution from Prattville Sheet Machine 3 and does not incorporate the capacity offered by Prattville Sheet Machine4. Investments in capacity expansion projects will decline for the next few years as our recent major projects have reached completion. In FY '26, we expect total capital expenditures to decline by nearly $100 million year-over-year to approximately $325 million, which significantly drives our expected free cash flow increase. Looking further ahead, we expect to maintain a disciplined approach to capital expenditures, with our North American Fiber Cement segment investing 6% to 7% of sales in CapEx over the long-term. As we maintain this capital spending discipline and execute on our growth plans, we expect to generate substantial free cash flow and diligently allocate capital to create value for all shareholders. Now, I will turn it back to Aaron to conclude our prepared remarks.
Aaron Erter: Thanks, Rachel. Wrapping up on Slide 19. Our ability to expand the reach of our products by capitalizing on both underlying market growth and our material conversion opportunity and to gain share through our superior value proposition has not only supported our historic peer-leading growth, but also underlies our expectation for continued long-term outperformance. We are a profitable growth company, aligned as an organization around our purpose of building a better future for all. James Hardie's value proposition as a growth company is highly compelling, with three primary pillars for shareholder value creation. First, we have the right strategy, one where our success perpetuates driving even greater success. Second, we have the best team in the industry, dedicated and focused on bringing our customer partner solutions that enable them to win. And third, our financial profile is attractive and will only continue to improve as we diligently allocate capital and work towards executing our strategy. We believe our combination with AZEK will further accelerate our sales growth by an incremental 2.5 percentage points on top of our double-digit trajectory due to AZEK's faster growth profile and delivery of $500 million of run rate commercial synergies over the next 5 years. We also expect that the transaction will be accretive to our organic margin expansion target of 500-plus basis points, driven both by AZEK's own organic margin improvement potential and by the $125 million of run rate cost synergies that we expect to achieve over the next 3 years. Our combined business will be an engine of tremendous cash flow generation, and once run rate cost synergies are achieved, we expect to generate robust annual free cash flow of greater than $1 billion. And finally, I'm excited to bring together the two leading teams in the industry that will be dedicated and focused on bringing differentiated solutions to our customers to help them win each and every day. Our team is poised to execute on FY '26. We look forward to welcoming the AZEK team into James Hardie and becoming the leading solutions provider in the building products industry. With that, operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Harry Saunders with E&P. Please go ahead.
Harry Saunders: Good morning, Rachel and Aaron. Thanks for taking my question. Just wondering if you could split out your internal view of North American R&R and new single-family end markets in FY '26 and maybe your approximate sort of above-market growth expectations or PDG within that guidance, please?
Aaron Erter: Yes, Harry, thanks for the question, and good to hear from you. Look, as you know, when you look at the history of our company, what we've been able to do is outperform no matter what the markets are. We've been proud of doing that. We will continue to do that. As we look at some of the external forecasts out there from an R&R perspective, you see anything from down mid-single digits to high single digits. And, again, we expect to outperform those markets in which we participate in. I think even more recently, you saw one of the large home improvement retailers as early as today talk about some of the softness in large R&R. And that speaks to the uncertainty that we're seeing in the marketplace. I think what's important is if you look at our guidance, we can tolerate that type of depression in the market because we will outperform.
Operator: The next question comes from Matthew McKellar with RBC Capital Markets. Please go ahead.
Matthew McKellar: Hi. Thanks for taking my question. Just a high-level one. Regarding AZEK and your top priorities around integration, what do you need to get right in the first, call it 6 to 12 months as a combined company to really set yourselves up to be able to achieve the commercial synergies in particular you're targeting over the first few years. Thanks.
Aaron Erter: Yes. Hey, Matthew. Great question. Look, I think more than anything, and having done this before, the most important thing you have to get right starts with people. And that means putting people in the right positions and also making sure that you retain people. And then be able to clearly lay out the priorities for them. So it all starts with people. And I'm really excited because if I look at the James Hardie team, the AZEK team that I've had a chance to have some exposure to, we truly do have the best teams in the industry.
Operator: The next question comes from Shaurya Visen with Bank of America. Please go ahead.
Shaurya Visen: Good morning, Aaron. Good morning, Rachel. Thanks for taking my question. Aaron, I had a question, if something you alluded to earlier in your comments. So could you give us some more color on the recent agreements that you've signed? And I'm looking at, like, more the last 1-month. And I'm thinking more like Daiwa, CPH, Mackenzie, Davidson. What is the nature or duration or scope of these agreements, and perhaps a related question is, as you talk to your potential and existing customers, do you get a sense that you are incrementally getting more traction as AZEK's products? I'm thinking more like trim decking are complementary to yours. And directly looking at next 6 to 12 months. Thanks, Aaron.
Aaron Erter: Yes. Shaurya, thank you for the question. Look, I think just in summary here, we've been talking about our focus and putting resources around large homebuilders for some time. You can see that strategy is paying off as some of the recent wins. We talked about really having a focus on the top 200. So that's what you're seeing come to fruition here over the last couple of years. And it's -- we put an exclamation point on it with some of these newer agreements. I would say they're different. Each one of them is different, so I won't go through each one of them. But most of them are multiyear. And they include hard siding and trim as well. So you are seeing us partner more and more with these large homebuilders. And as we think forward and the opportunities not only for our core business but as we align with AZEK, there's going to be tremendous opportunity moving forward.
Operator: The next question comes from Keith Chau with MST. Please go ahead.
Keith Chau: Hi, Aaron. Hi, Rachel. Thanks for taking my question. Just while I want to talk about the channel at the moment. Quite clearly, the end market demand is soft. There's -- it's been selling season didn't transpire. It's expected. So just wondering if you can give us a sense of what you're seeing in channel, how you're feeling about channel inventory levels and with a inherent [ph] risk of destocking just going back to the experience in 2022. So just seeing if, you're seeing anything like that at the moment or whether you're happy with channel inventories at the moment. Thank you.
Aaron Erter: Yes. Hey, Keith. I'm having a hard time understanding. I think I got what are we seeing out there in the channels and maybe what the inventory levels are. Did I get that correct?
Keith Chau: Yes. That's correct. Thank you.
Aaron Erter: Yes. So, look, I think as we look at the channel and it's different for different customers, of course. But in general, I would say that we are seeing normal stock levels out there, just as a general statement. If we think about from a repair and remodel standpoint and look, one of the things that is always one of my favorite things to do is be able to be out with our customers. So I was able to be with hundreds of them at IBS, and I was able to be with many of them at our James Hardie events, whether that be at our contractor summit or James Hardie Invitational. And more recently, just being out in the field with our contractors. So from a large homebuilder standpoint, I think you're seeing some of the press out there with the different blips on the radar. But I think we're going to see a challenge from a large homebuilder standpoint as we look at single-family new construction. If we look at R&R, it continually is soft out there, and that's some of the comments that we talked about as we started this call. But as I said before, Keith, look, with that said, there's still a lot of share out there for us to be able to go out and get after. And I do believe we have the strongest value proposition. We are partnering with our dealer partners. We are partnering with our contractors. We are partnering with our large builders as we bring differentiated solutions. And no matter what the environment, we're going to go out and win.
Operator: Your next question comes from Keith Hughes with Truist. Please go ahead.
Keith Hughes: Thank you. On the mid-single-digit decline in volume in North America on the guide, could you talk about what influence the interior products and multifamily is going to have on that number?
Aaron Erter: Yes, Keith, so if I look at the mid-single-digit decline, we talked about R&R being down mid single digits to high single digits. Single-family new construction, we are looking at it being flat, but it could be down, particularly some of the things that you're hearing more and more from some of the large homebuilders, the challenges they're having. And then multifamily, we would say is down, going to be down, but not as much as FY '25, because we did see it significantly down, Keith, and that's what we cited in our call. If we look at our single-family, call it exteriors business, we saw good traction and solid growth there. Really, what was a detractor was the multifamily and also our interiors business.
Operator: Your next question comes from Will Wilson with UBS. Please go ahead.
Will Wilson: Hi, Aaron and Rachel. Evening. Just want to get a feel for how things have progressed this quarter in the U.S. Other [ph] things kind of slowed down significantly March through to April, but have started to pick up since. Is that what you're hearing on the grounds?
Aaron Erter: You want to take this one, Rachel?
Rachel Wilson: Sure. I think what we are saying is that we are being a little bit more conservative in the uncertainty in the markets right now. We are seeing performance in at -- for the months to date as we would expect. But, look, we are going to be a little cautious out there, and our guidance is reflective of that. But, again, we are performing very much to our plan.
Operator: Your next question comes from Brook Campbell-Crawford with Barrenjoey. Please go ahead.
Brook Campbell-Crawford: Good evening, Aaron and Rachel. Thanks for taking my question. Just I do have one on market share. The annual report notes that share gains in North America in FY '25 were positive, but below target levels, which seems a little bit at odds with all the positivity you've talked about in the prepared remarks around share gains and wins. So just if you don't mind just spending a minute or two just talking on base, perhaps what led to that shortfall in share gains in 2025 and how -- what you're going to do effectively to help change that going forward. Thanks.
Aaron Erter: Yes. Hey, Brook, just really simply and I think we mentioned this before. Our single-family exteriors business, right, which is the bulk of our business grew in what was a down market. So we're outperforming. And I think Keith just asked the question, and I gave a little bit of clarity there. Where we did see some slippage was in multifamily, which that whole category was down dramatically. And then if you look at our interiors business, it was down, call it high single digits as well. And the interior business really correlates to large interior remodeling projects. Yes, go ahead, Rachel.
Rachel Wilson: I think it's also important to add as Aaron was talking with some of those wins that you've been experiencing and what are you expecting. And I think what we should talk about is there we do expect strategic acceleration, and that's reflective of that progress we are making with new construction, where we've announced those wins, but those volumes ramp up throughout the year. We've had momentum that we are building with our contract on R&R, and that's the result from that ColorPlus, which demonstrates the progress even in softer markets. And we've had contribution from new product releases like TimberHue, again, as Aaron talked about, and we expect those to build throughout the year. We've had innovations to improve on-the-wall costs, as Aaron discussed, yielding encouraging early results. So I think those are some of those strategic initiatives as we look ahead and think about volumes for next year.
Operator: Thank you. Your last question today is from Andrew Scott with Morgan Stanley. Please go ahead.
Andrew Scott: Thank you. Aaron, I was a little surprised just by the 1% ASP in North America. It seems relatively low realization versus the increase. I think you told us that you'd gone out with a mid-single-digit price increase. So can you just talk about what's driving that? Are we seeing more discounting or increased use of rebates, or is it just -- is there something in mix? And then if we extend it forward, do you expect better realization as the year progresses? Because mid-single-digit down plus a bit of PDG. So you're definitely going to need better price realization to get to the mid to the low single-digit growth for the full year.
Aaron Erter: Yes. Hey, Andrew. Thanks for the question. Look, we are continually bringing value to our customers. We are creating value in the marketplace. I think long and short of it, we are not a commodity. And if you look at our history, we've been able to consistently go out there and get value in the marketplace because of the proposition that we bring to our customers. Look, we put it in January. We put through our annual price increase. And we are recognizing our underlying ASP gains, as we anticipated. I think the thing that you're seeing there is what we were just talking about as some of this headwind as it relates to multifamily. If you would take out the multifamily just in our fourth quarter, I mean, that accounted for a headwind of almost a point and half. So, we did see some of the negative headwinds from multifamily, and it was reflected in our pricing as well. But look, as we move forward, and I think you've heard me say this since I've been sitting in this chair, is we are going to move forward and continually have positive ASP.
Operator: That is all the time we have for questions.
Aaron Erter: All right. Operator and everyone on the line, thank you. Again, I want to thank all of the team around the world who work safely to really bring our customers the solutions they need to help them drive their business. And furthering our purpose of building a better future for all. Thank you, everyone, for the time.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.